Operator: Hello and welcome to Xcel Brands First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that reproduction of this call in whole or in part is not permitted without prior written authorization of Xcel Brands. And as a reminder, this conference call is being recorded. I would now like to turn the call over to Andrew Berger of SM Berger & Co. Thank you, Andrew. You may now begin.
Andrew Berger: Good evening, everyone, and thank you for joining us. We appreciate your participation and interest, and hope that all of you are safe and well. With us on the call today are Chairman and Chief Executive Officer, Robert D'Loren; Chief Financial Officer, Jim Haran; and Executive Vice President of Business Development and Treasury, Seth Burroughs. By now, everyone should have had access to the earnings release for the first quarter ended March 31, 2022, which went out a short while ago. And in addition, the company will file with the Securities and Exchange Commission, its quarterly report on Form 10-Q by May 23, 2022. The release and quarterly report will be available on the company's website at www.xcelbrands.com. This call is being webcast, and a replay will be available on the company's Investor Relations website. Before we begin, please keep in mind that this call will contain forward-looking statements. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from certain expectations discussed here today. These risk factors are explained in detail in the company's most recent annual report filed with the SEC. Xcel does not undertake any obligation to publicly update, or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. The dynamic nature of the current macroeconomic and geopolitical environment, means what is said on today's call could change materially at any time. Finally, please note that, on today's call management will refer to certain non-GAAP financial measures such as non-GAAP net income, non-GAAP diluted earnings per share and adjusted EBITDA. Our management uses these non-GAAP metrics as measures of operating performance, to assist in comparing performance from period to period on a consistent basis, and to identify business trends relating to the company's results of operations. Our management believes these financial performance measurements are also useful because they measure -- these measures adjust for certain costs and other events that management believes are not representative of our core business operating results, and thus they provide supplemental information to assist investors in evaluating the company's financial results. These non-GAAP measures should not be considered in isolation, or as alternatives to net income, earnings per share, or any other measure of financial performance calculated and presented in accordance with GAAP. You may refer to the attachment to the company's earnings release or Part 1, Item 2 of the Form 10-Q for a reconciliation of non-GAAP measures. And now, I'm pleased to introduce Robert D'Loren, Chairman and Chief Executive Officer. Bob, please go ahead.
Robert D'Loren: Thank you, Andrew. Good evening, everyone, and thank you for joining us. I will start today's call with some opening remarks followed by some operating highlights for the quarter, after which, our CFO, Jim Haran, will discuss our financial results for the first quarter of 2022 in more detail. We have worked very hard over the past 12 years to position Xcel Brands as a design, production and media platform focused on driving growth in consumer brands through a live stream driven strategy, and are pleased both, with the success we have been able to achieve under our brands on direct response television, as well as our ability to materially increase the long-term value of our brands; there is no better example than our Isaac Mizrahi brand that generated $30 million of retail sales when we acquired it in 2011, and is now generating over $350 million in annual retail sales. We are working on multiple new projects within our existing businesses, and based upon the pipeline of projects and opportunities that are currently either planned or being considered, we are positioning Xcel as a leading platform for brands, primarily driven by the rapidly growing livestream shopping experience, now happening at all types on all types of screens. Now, turning to a few highlights from our first quarter results. In the first quarter of 2022, we continue to show strong top line revenue growth year-over-year. We had $8.7 million of top line revenues which is 12%, or nearly $1 million higher than the first quarter of 2021. The company's net loss was $3.5 million compared with a $2.5 million loss from last year, and our adjusted EBITDA was flat to last year at a loss of just under $1 million. We are working hard to reduce operating costs going forward while continuing to drive growth in new business. As mentioned on our last earnings call, the fourth quarter of 2021 was challenging for us given the warehouse fire at QVC, which materially impacted our business. Q1 2022 shows a strong recovery for the fourth quarter of last year with net revenues and gross profit up 8% and 36% respectively. Also, net loss and adjusted EBITDA improved $3.4 million and $1.6 million respectively, on the same comparative basis. Our current brands remain strong with our wholesome brands showing continued growth and strong sell-throughs at retail and new partnerships under the brand, which we expect to announce soon. Lori Goldstein has been performing extremely well at QVC, and we just finalized development on our new brand, Gold by Lori Goldstein, which we will be showing to retailers in fall 2022. Our Judith Ripka brand is continuing to gain traction at independent jewelry retailers around the country with 14 new accounts opened in the first quarter and two new Las Vegas casino doors opening soon. And Longaberger continues to show strong momentum, primarily driven by our digital live stream shows and micro and nano influencer driven strategy. We expect that our interactive TV businesses with both, HSN and QVC will present a significant opportunity for us in 2022 and beyond with our existing brands, as well as multiple new brand opportunities that we hope to also announce soon. Also, based upon our current business trends, we expect that the company will return to profitability this year. Our investments in people, technology, live streaming, design, product development and supply chain management are now greatly benefiting the company. We believe our financial flexibility and significant untapped rich asset values positions us well to drive our current businesses and fund new opportunities. This is even more important as companies in our industry are dealing with margin pressure due to logistics and raw materials costs; as a result, we believe that the growth investments we are pursuing combined with our strong balance sheet asset values will position us well to grow our business despite any economic headwinds that may lurk ahead. In closing, the past two years have taught us to focus on who we are, and what we stand for in the world, and in our industry. Also, we know that in the face of continued uncertainty, both globally and in our industry, we need to keep our focus and priorities crystal clear, i.e. we exist to design and develop great products and to reimagine shopping, and entertainment, and social media as one thing. Now, I'd like to turn the call over to Jim to discuss our financial results for the quarter and the year.
Jim Haran: Thanks, Bob, and good evening, everyone. I'll briefly discuss the financial results for the quarter ended March 31, 2022. Total revenue for the first quarter 2022 was $8.7 million, representing an increase of approximately $0.9 million or 12% from the prior year quarter, and primarily related to our acquisition of the Lori Goldstein brand in April 2021. Gross margin from product sales declined from approximately 48% in the first quarter of 2021 to approximately 40% in the current quarter, primarily driven by the sell-off of the aged [ph] inventory, a portion of which we had reserved for in 2021, and as well as increased logistics and global supply chain costs in the first quarter. Our operating expenses were $10.1 million for the current quarter, up $1.6 million from $8.5 million in the prior quarter; this increase was primarily driven by costs associated with the Lori Goldstein brand including $0.6 million of additional non-cash trademark amortization expense. Additionally, operating expenses for the current quarter reflect various cost increases from multiple service providers and vendors due to the current inflationary economic environment, most notably in the area of shipping, warehousing and logistics costs. We have and will continue to actively manage and control these costs as best we can in the current environment. Interest and finance expense for the current quarter was $0.7 million compared with $0.3 million in the prior quarter. This increase was due to the new term loan agreement that we entered into April 2021 and amend with the end of 2021, which resulted in higher outstanding principal balance and a higher interest rate than our previous term loan debt. Overall, our net loss excluding non-controlling interest for the first quarter of 2022 was approximately $3.5 million or minus $0.18 per share, compared with $2.5 million or minus $0.13 per share in the first quarter of 2021. On a non-GAAP basis, our net loss for the current quarter was $1.9 million or minus $0.10 per share, compared with $1.5 million or minus $0.08 per share in the first quarter of 2021. Adjusted EBITDA was relatively consistent year-over-year at approximately negative $0.9 million for both, the current and prior year quarter. As a reminder, non-GAAP net income, non-GAAP diluted EPS, and adjusted EBITDA are non-GAAP unaudited terms. Our earnings press release and our Form 10-Q present a reconciliation of these items with the most directly comparable GAAP measures. Turning to our balance sheet, as of March 31, 2022, the company had unrestricted cash and cash equivalents of approximately $3.1 million and positive net working capital of $5.2 million, excluding the current portion of our lease obligations. Our bank debt on March 31, 2022 was approximately $28.4 million. And lastly, in closing, we continue to project based on our latest forecast for 2022 that the company will return to profitability by the end of the current fiscal year. And with that, I would like to turn the call back over to Bob. Bob?
Robert D'Loren: Thank you, Jim. This concludes our prepared remarks. Operator?
Operator:
Robert D'Loren: Thank you, operator. Ladies and gentlemen, thank you for your time today. We greatly appreciate your continued interest and support in Xcel Brands. As always, stay fit, eat well and be healthy.
Operator: Thank you. This concludes today's conference. You may now disconnect.